Operator: Good morning. This is the Chorus Call conference operator. Welcome, and thank you for joining the Nexi Full Year 2024 Financial Results Presentation. As a reminder, all participants are in listen-only mode. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Paolo Bertoluzzo, Chief Executive Officer of Nexi.
Paolo Bertoluzzo: Thank you very much, and good morning to everyone. Welcome to our call for 2024 full year results. I'm here, as usual, with Bernardo Mingrone, our CFO and Deputy General Manager, with Stefania Mantegazza, who leads our Investor Relations activities and a few other members of our team. Today, I will start as usual with a summary of the key messages. Then I will spend a few minutes to deep dive on capital allocation, both in terms of how we see it and how we generate more and more cash over time, the results that we have achieved in 2024. And most importantly, the commitments we are taking for '25 and going forward. I will then hand over to Bernardo for full year results description. And then I'll come back to talk about the next year guidance, close and then open the Q&A session to answer to your questions. Now let me start with the key messages. As usual, at Page 3, 3 key messages. First of all, a continued delivery of growth and most importantly, strong acceleration of cash generation. Revenues in the year did grow for 5.1% versus the previous years with Merchant Solutions going up 6.3%. EBITDA growth was at 7.1%, with 101 basis points EBITDA margin expansion in the year, thanks to a very strong cost control throughout. The growth of excess cash has continued in a very remarkable way. We have closed the year at EUR 717 million, which is a 19% growth versus the previous year. And overall, normalized EPS has been at EUR 0.59, which represents an 11% growth to the previous year, also embedding the effect of the buyback that we've done last year. Second key message, we continue to shape the company for future profitable growth, which is our strongest focus. First of all, we did continue to progress the execution of our integrated payment strategy, integrated as always means a combination of payments and software, especially for SMEs. In the year, we've been working with more than 500 ISV partners across the various geographies, and we have now Nexi integrated payment software bundles in more actually than 6 markets in all the key markets. Second element that we want to underline, which is a strong value, not just for the year but actually for the future as well. In Italy, we have been strengthening and strengthening our complementary channels for SMEs that basically operate on top of our bank partnerships in addition to our bank partnerships. And actually, in the last quarter of this year -- of last year, these additional channels have been representing 30% of total new sales in the quarter, and it is up from about 15% last year, and the additional 15% is all driven by the new face-to-face channels that we have been developing throughout the year. And I also want to underline the fact that these growth is actually coming on top of the performance of the bank partnerships that has been in line with the previous years. Third point that we want to underline, we have been fully executing our efficiency plan and organizational synergies. And this is very well witnessed by the fact that in the last quarter of the year, our OpEx are broadly flat, compared to the same quarter of the previous year. And last but not least, we also want to underline that we are leveraging as much as we can, the opportunities offered by Gen AI and AI more in general. For now, we've been focusing a lot on IT, both software development and software testing and operations across the board, and we start to see some material value generated by the implementation of Gen AI. And as we go forward, we will continue to do that more and more. Third key message, creating value for our shareholders. Let me start from the achievements from last year. Leverage ratio went down from 3.0 to 2.7x EBITDA, actually net of the buyback effect, this would have been before the back effect, this would have been 2.4x. We've been upgraded to investment grade by Fitch Ratings in December 2024, and you all know very well what it means for us. And we've completed our EUR 500 million share buyback in '24. Most importantly, going forward, the plan for 2025, going forward, we plan to return to shareholders most of the excess cash, and we start distributing dividends from this year and then these dividends will grow over time. While at the same time, we remain committed to maintain an investment-grade status. More precisely, in 2025, we return to shareholders a total of about EUR 600 million, which is 20% more than last year. And this EUR 600 million will be a combination of the EUR 300 million dividends that we'll start with and an additional EUR 300 million share buyback program that we'll be executing in the year. Overall, we have been delivering the guidance that we provided to you 1 year ago for 2024. Let me now move into capital allocation. And let me start by recapping quickly what we like to call our formula for this. We went through this, I think, about 6 months ago, but let me go through it again. We are benefiting from the combined effect of top line growth, operating leverage and what we call cash leverage. Revenues grow depending on the year, but we see continuous growth. And in 2024, this has been a bit above 5%. We continue to have on top of that very strong cost control, and this is generating the operating leverage, this is allowing us to continue to expand EBITDA margin and, therefore, support more than 7% EBITDA growth. Together with that, we have CapEx going down, nonrecurring cash items going down. And over time, we will also see net cash interest expenses going down as we reduced our debt and interest rates go down. And this is what is generating a very strong generation of excess cash. Most importantly, very strong growth of excess cash, that for the year has been 19% up to EUR 717 million. And here on the right, you see the journey we are on. 2022 to about EUR 400 million, '23 about EUR 600 million, '24 more than EUR 700 million, and we expect to see more than EUR 800 million in 2025. Now let me go back to '24 for a moment. What did we achieve across our 4 -- our 3 priorities: debt leverage reduction we have reduced leverage to 2.7x EBITDA, which would have been before the share buyback 2.4x here. I want to underline again what we discussed in the past, our strong organic deleveraging capacity. If we were not allocating EUR 0.5 billion to shareholders would have been deleveraging 0.6x EBITDA in the single year. And we have also paid the debt maturities of 2024. We reimburse them for more than EUR 700 million, and we plan to reimburse the EUR 0.5 billion that we have maturing this year in 2025 with available cash. Second key point, in the year, we returned EUR 500 million to shareholders through the share buyback, we have completed in September, and we have canceled about 83 million shares. Last but not least, M&A. As we said in the past, our M&A activity is extremely focused on the most available opportunities that we assess with extreme rigor. And at the same time, we continue to rationalize our portfolio with a focus on DBS. In the year, it's important to underline the fact that actually the money that came into the company through selling assets has been actually higher than what we spent on M&A and therefore, in this specific year, M&A has been a positive contributor to cash, that we could use to return to shareholders or to reduce leverage. Overall, this progress has been well taken into account by rating agencies that have been upgrading us to investment grade at the end of the year. Now what is the plan going forward? Next page, Page 6, again, the basis for this capital allocation is the cash that we have been generating last year, EUR 717 million, together with the outlook for this year, EUR 800 million, and more broadly for the outlook of the coming years, where we expect to continue to increase the cash that is generated by the business. First of all, we'll maintain as a key priority, debt and leverage reduction, here we have a clear commitment to maintain the investment grade status that we have obtained. And in parallel, continue on the gradual deleveraging towards the 2 to 2.5x EBITDA target leverage as we discussed in the past. At the same time, let me go on the far right, we will maintain a very rigorous approach to M&A again, was very focused and probably very small in size, very accretive acquisitions. While at the same time, continue to focus on the rationalization of the portfolio in DBS. And now let me focus on the core of the message today we will return more and more value, more and more cash to our shareholders. And here, there are 2 sides to it, if you like, a longer-term view and outlook. Going forward, we plan to return most of the excess cash generated by the business to shareholders. And as a part of that, from this year, we will start distributing dividends that then we expect to grow over time. More precisely, in 2025, we will start with a dividend distribution of EUR 300 million -- of about EUR 300 million, precise number is going to be EUR 0.25 per share. And on top of that, we will also add EUR 300 million of share buyback. In total, we'll be returning to shareholders about EUR 600 million, which is 20% more than last year. And this is about 10% of the equity value of the company at current share price with an implied yield of more than 10%. Now let me hand over to Bernardo for results.
Bernardo Mingrone: Thanks, Paolo. So starting from Slide 8, where we begin with a consolidated view of our P&L, Paolo has already mentioned. Our revenues are growing just north of 5% for the year, slightly less in the fourth quarter due to some effects we'll speak of in the business units. But in general, performance through year albeit being seasonal as our business is, was pretty homogeneously spread throughout the year. The growth was pretty consistent. As per our guidance, back in February last year. EBITDA margin clearly peaked in the fourth quarter in terms of its accretion, 153 basis points. This is a function of the strong expected cost performance in the fourth quarter. We'll speak of in a second. In general, for the year, we continue to increase our EBITDA margin by about 100 basis points as in previous years. All of this, thanks to the operating leverage we benefit from as a business in this sector. Overall, EBITDA grew 7.1% for the year, slightly less than the quarter at 6.7%, again, pretty much in line with our expectations and guidance at the beginning of 2024. Moving on to Merchant Solutions. Merchant Solutions benefited as most of our business from strong growth in volumes throughout the year, in terms of the value of managed transactions and international schemes, you can see the growth being just shy of 10%, 6.3% growth in the full year. A slight decrease in the growth rate in the fourth quarter, we see the call out on the right, we have highlighted how we've had in certain regions in Italy, we have had the beginning of the impact of the migration of one large client, which was expected and started towards the end of the year. In other geographies, in the Nordics, in particular, we suffered a bit from a little slightly weaker macro and some phasing effects on partner commissions or schemes fees -- sorry, scheme-related fees and incentives. In general, I think it's important to highlight how we have benefited from strong growth in our core business of SMEs, e-commerce continues to support this top line growth, and we have some visible contribution coming from upselling and cross-selling of value-added products and services. On the issuing front, I'd say a bit of a positive surprise compared to when we guided back in February last year in terms of the full year performance. Overall, revenues grew in the mid-single-digit range at about 4%, just north of 4% in the fourth quarter, just shy of that, even in issuing, you can see international scheme volumes growing just north of 9%. And I think the name of the game here continues to be strong performance in Italy driven by international debit product. We continue to upsell and cross-sell our advanced digital issuing solutions across the board. And I think the slightly better end of the year than what we had forecast is really got to do with delays in -- or let's call them phasing effects or delays in migration, particularly with one client in the Nordics. Slide 11 talks about Digital Banking Solutions here. We're talking little swings one quarter to the other, which might impact, so hundreds of thousands of euros or very slow single-digit millions of euros in the quarter, so it's very hard to comment quarterly performance, especially in this business, which is less than the others, less than the others tied to volume growth, but has a more infrastructure-like characteristics and has a lot of project work in it. So rather comment the full year, which is year-on-year growth, of 1.6%, I think this is a strong performance given that in the past, this is one of the businesses, in prior years, it was hardest hit by client losses coming from bank M&A in Italy. And notwithstanding this, it is a business which can still grow the top line, thanks to the exposure, it does have to areas like instant payments and so on and so forth, which do provide some benefit from volumes growing. On Slide 12, I would highlight the fourth quarter performance in DACH in Poland, which was double digits. Southeastern Europe throughout the year was pretty consistent in terms of the high single-digit kind of growth around the 7%, 8% you see for the full year. Italy, I mentioned slight slowdown impact in the fourth quarter impacted by the banking M&A, I was referring to earlier when I was speaking of Merchant Solutions in the Nordics as well, impacted by some phasing effect on commissions, which I also referred to in the generally weaker macro we have, especially in some of the geographies in the Nordics. Slide 13 on costs, I think we're pretty happy and proud of achievements during the course of '24. We had, during the course of the year, kind of indicated we are expecting full year cost growth to be below 3% is 2.9%, benefiting from the fourth quarter, which is essentially flat. As you can see, the HR costs were down 6%. That's not a surprise as we carried out a very large restructuring -- or not restructuring, but a plan to incentivize exits and rightsize our workforce during the course of '24, which basically gave its benefit mostly in the second half and primarily in the fourth quarter. On the non-HR front, we also did, I think, a reasonably good job of trying to contain upward pressure coming from inflation. But also, let's not forget that close to 10% growth in number of transactions, which is what feeds our costs. Ultimately, our cost base is 20% variable. So that 10% growth in number of transactions, 10% or more translates automatically in a 2% growth in processing costs for us. And notwithstanding this, I think inflationary pressure, wage drift, volume growth, we managed to contain cost growth to 2.9% for the year, which is what we guided to, if not slightly better. On CapEx, the trajectory is a healthy decrease close to 11%, EUR 50 million less of CapEx in the year compared to the prior year. Obviously, this is a function of completing the transformation or the process -- the progress and process towards completing our transformation. And this is notwithstanding the fact that we continue to invest to support our innovation, the quality, security, but closing down platforms or data centers, we closed down our largest data center in Italy back in July and work continues to rationalize the duplication of platforms and data centers and the streamlining of our cost base, which ultimately translates in a lower absolute level of CapEx, even in relative terms, you've come down from 15% to 13%, which is another step in the right direction. Moving on to nonrecurring items. If we focus on integration and transformation costs, they're down 20% year-on-year. I think last year, they were down more than that 50%, but the downward trend is something we expect to continue going forward, is in line with expectations, we also had a very large one-off charge, which was fully booked in the year, EUR 164 million in terms of severance, speaking of the benefits we got from that severance with the costs, this is the upfront P&L item. Half of this more or less was expensed -- sorry, was paid out in cash during the course of '24. The remaining half will be flowing through our cash flow in '25 and '26. Cash, Paolo spoke of the 20 -- close to 19%, close to 20% year-on-year growth of excess cash. I think this was pretty much in line with expectations we guided to north of EUR 700 million. A lot of work went into optimizing working capital, you see it was slightly positive in the year. But in general, I think the excess cash result for the year reflects the underlying components of the business or EBITDA growth, the cash -- the CapEx coming down, nonrecurring cash items, obviously, slightly higher than what we would have had if we hadn't had the severance, but notwithstanding all of this optimization around the board, even on cash taxes and net cash interest expense helped achieve this, I think, strong results on cash generation. Moving on to Slide 17, just a quick recap on some of our key strengths. I believe the strong increase in cash generation 20% year-on-year from EUR 600 million to EUR 700 million. And also how this translates in terms of earnings growth, you can see how normalized EPS, so stripping out exceptional D&A related to M&A and the nonrecurring items, that is growing from EUR 0.54 to EUR 0.59, 11% year-on-year, compounded by the effects of the buyback. We bought back more than 80 million shares during the course of last year, which obviously helped stimulate this growth and normalized net profit being in excess of EUR 700 million -- EUR 731 million. Finally, without -- before handing the floor back to Paolo on net debt. I think this is, again, another 2024 was a remarkable year for us in terms of capital allocation. We started to buy back shares and return EUR 0.5 billion to investors. At the same time, we reduced gross debt by EUR 0.75 billion. Importantly, we were upgraded to investment grade by one of the rating agencies, this is a long time in making. A lot of work went into this after a very significant number of consecutive upgrades. We have managed to secure funding from EIB and Cassa Depositi e Prestiti to support our growth, our CapEx, and this is a very long-term financing, very stable at very attractive rates. And you see here, we called out the fact that we're in the process of managing maturities well beyond 2025, which will be paid down in cash, as Paolo said. But looking to 2026 and 2027, we're now talking with our partner banks with regards to the term loan, the RCF, to try and refinance them in a very effective way. We've received significantly in excess of what the commitments, which are significantly in excess of what is due in 2026. And therefore, in the coming days, I think we will be able to announce successfully refinancing maturities for 2026 and possibly 2027. So in terms of the maturity profile of our debt, that 2.4 years will be substantially increased in the not-too-distant future. Let me hand the floor back over to Paolo with regards to our guidance for 2025.
Paolo Bertoluzzo: Thank you, Bernardo. As far as 2025 guidance is concerned, let me go through what we see for the development of the company. Top line growth, net revenues, we expect to have a low to mid-single-digit year-on-year growth. Here, we see some underlying growth acceleration despite a softer-than-expected macro. But we also see the effect of some extraordinary events such as Italian banks M&A Banco BPM in particular, I would say, and some other small contract renegotiations or terminations across Europe here. The point is that these effects are not extraordinary in nature in the sense that every year, we have some of them. What is extraordinary in 2025 is the concentration in the year that makes it absolutely a unique year from this point of view. Nevertheless, we expect to continue to expand our EBITDA margin by at least 50 basis point, thanks to a continued strong cost control. Last but not least, we will continue to grow strongly the excess cash that we generated, that we expect to land for the year at more than EUR 800 million, bringing the growth to about another EUR 100 million compared to 2024. Let me now close by summarizing the key messages again on Page 21. First of all, we continue to see the delivery of growth and strong excess cash generation. Again, let me underline 19% higher cash generation in 2024. Second, we continue to shape Nexi for future profitable growth across all fronts from what supports underlying future growth to what support efficiency to what support competitiveness. Last but not least, we continue to create value for our shareholders, returning more and more cash while continuing to reduce our leverage. We have delivered the guidance for '24. And as we look forward, we commit to an additional EUR 100 million growth of the excess cash generation. We expect to be at more than EUR 800 million. And we continue our journey of returning more and more value to our shareholders. In 2025, we returned about EUR 600 million which is a 20% increase. Out of this EUR 600 million, EUR 300 million will be a dividend that we started in '25, and we expect to grow over time. And on top of that, we will add an additional EUR 300 million share buyback. So a total of EUR 600 million, which is more than a 10% yield at current share price. Let me stop here, and let me open to your questions.
Operator: [Operator Instructions] First question comes from Justin Forsythe of UBS.
Justin Forsythe : So I've got a couple of questions here. The first topic, I guess, is merchant financing. So I wondered -- I know you talked about it in quite a bit of detail in the 3Q, but I wanted to circle back to it and wonder if we could tease it out a little bit. So -- maybe you could just talk about where it hits the P&L, how meaningful it is today and what rate is it growing at? It does seem like lenders such as Liberis who are powering you guys are growing quite rapidly. And what do you think adoption could get to? Also, you mentioned Italy and Switzerland expected to roll out in 2025. Have you baked those assumptions in? Or is that a little bit of upside? Secondarily, I wanted to ask around the free cash flow cadence. So if we're just looking at your guidance there, it appears to be roughly an expectation for a EUR 100 million increase in EBITDA, which implies to me that there's a limited expectation for free cash flow leverage, let's say, things such as, say, CapEx, nonrecurring expenses, et cetera...
Operator: Mr. Forsythe. Sorry, your line is a little disturbed, sir.
Justin Forsythe : Let me rephrase it again, sorry. So just wanted to step through the free cash flow cadence. So your guidance appears to imply that you have a roughly EUR 100 million growth in EBITDA, which is also your excess cash generation target increase, it implies basically limited leverage in some of the other cash lines. Maybe you could just step through that and whether that's a conservative target just to start off the year.
Paolo Bertoluzzo: Justin, thank you for your questions. Let me take the first one and then hand over to Bernardo for the second one. Merchant financing is something that we believe a lot in. Here, it's really important that we clarify the role that we have here. We are not taking any credit risk. It's not on our balance sheet. We are ultimately distributing in a very effective way and integrating our products and services third-party merchant financing. And the product is so valuable for our customers and in general, create so much value that even if our role is more distribution and customer experience and integration and providing, obviously, the key strategic data to the provider, the product is so valuable that nevertheless, this product when adopted by a customer can increase the customer value from 50% to 100%. And that's really remarkable. That's one of the reasons why we're so focused on that. And by the way, it really creates a higher NPS with the customer, creates a higher loyalty to us and stickiness with our products and services. Now the focus for now has been more on the Nordics and Poland, and more recently, now we're starting in Germany, and we confirm that Italy and the rest of the key countries are the focus for 2025 rollout. Bottom line, it doesn't have any P&L -- sorry, it doesn't have any balance sheet effect and so on and so forth. And going forward, this will remain a big focus. The key point is what is going to be if you like, the full potential penetration on the customer base of this service. And it is a little bit early to say that, but this is starting to be a visible contributor to the growth, especially in the countries where we are rolling it out. On free cash flow, Bernardo.
Bernardo Mingrone: Yes. Just let me stress what Paolo said, mean merchant financing for us is not a balance sheet play. It's a commission-generating business, it doesn't have -- it doesn't carry credit risk or balance sheet commitments from our side. With regards to the cash flow generation, as you're suggesting, we will have EBITDA growth contributing to it, and in your words, just EUR 100 million. But life doesn't end at EBITDA. It goes on well below EBITDA, as you know. We have -- we expect to reduce nonrecurring items by substantial amount. Just think of what I said about the severance costs. We from a P&L perspective, we booked EUR 165 million more or less this year. Half of this was expense of just north of EUR 80 million, but the remaining EUR 80 million for argument's sake, assume it's 50-50 between '25 and '26, just the reduction in cash out from that provides us another EUR 40 million of uplift to cash generation, and we have the work we will be doing on the other nonrecurring items to reduce them. We have CapEx. We expect that downward trajectory we experienced this year to continue also in 2025. We will do the best we can to pay as little taxes as possible, and there's a lot of things we can do. Again, we're not talking about huge amounts, but every EUR 1 million that we can save on taxes helps and the same goes for interest income. So I mean those are the sources that I would expect to contribute to our cash growth, which are underlying that at least EUR 800 million target we've set ourselves for 2025.
Justin Forsythe : And fully with you on Liberis and other third parties being your provider and it not being on balance sheet. I guess like one follow-up, and thank you for the detail there. Do you think in Italy, banks might view this as a channel conflict at all given you're partnering with them for distribution for the merchant financing?
Paolo Bertoluzzo: Justin, we are very sensible to that, and we are having clear conversations with the bank. So ultimately, given the fact that this is not a balance sheet thing for us, and we are not in the business of financing ourselves and taking risk. We are very keen to work with the banks that are keen to provide this service for their merchants. So we'll be offering both a third-party service for the banks that are not interested in that. And also for our own direct channels where we go on customers that are not connected to our partner banks but also solutions that allow banks to have their own financing on the back of it.
Operator: The next question is from Josh Levin of Autonomous Research.
Josh Levin : I have 2 questions. So when investors -- can you hear me?
Operator: Yes, sir. We can hear you.
Josh Levin : When investors see a payments company growing revenues low to mid-single digits, I think they tend to think the business is just continuously losing market share. And is kind of like a melting ice cube, and that makes it hard for the stock to outperform. How would you respond to that? And then the second question is, any planned change in your financial reporting meaning you'll report less like a bank and more like a payments company?
Paolo Bertoluzzo: Thank you for your questions. Listen, I think the first one ultimately is a simple answer. We see underlying growth, as I've mentioned before, and we remain very confident that we will see over time reacceleration of growth on the back of the continued shift from cash to digital in the markets in Europe, and we see it to continue strongly all the time also into this year despite a weaker macro, plus a number of initiatives that we are putting in place to grow value on our customer base. And I think we discussed this at length in the last call. In terms of overall share dynamics, I think we continue to see what we discussed in the past. We clearly win share in Germany, Switzerland, Sweden, Austria, Poland in the markets where we are challengers, in the market where instead, we're starting from a very high market share, for example, Italy or the Nordics. Instead, now we are managing the competitive environment in a way that is intent to defend value. So yes, in some places and in some moments, we may also see some market share erosion. But ultimately, if you need to look at the portfolio and we are quite happy with the underlying portfolio dynamic. Specifically in the year, as I said, in 2025, we are affected by the concentration of a number of extraordinary events that is quite unique and that will be much lower as we look into 2026.
Bernardo Mingrone: And with regards to reporting package, Josh, yes, we will be published in the next few days. Nothing is defined yet, okay. It will take a couple of weeks, I think, to publish our results in the long format, they will be as a corporate with regard to Nexi's consolidated accounts. Remember, I remind you that the reason why we -- one of the reasons or the main reason why we report at an individual company that was some nonconsolidated Nexi accounts, those where you only see basically dividends coming in from subsidiaries, the cost of the employees of Nexi S.p.A., which is a small fraction of the business. So not really meaningful in terms of financial performance. Those need to remain a financial holding company in order for us to be able to tax deduct interest payments on our bonds. But the consolidated accounts, the ones we comment on today will be reported as a corporate. In the annexes side-by-side of the usual reporting package. And in '25, it will be only in the new format.
Operator: The next question is from Aleksandra Arsova of Equita.
Aleksandra Arsova : Two questions from my end. The first one is maybe on the short term. So what you're seeing in this first 2 months of 2025 and it is broadly in line with the guidance you provided for the full year? Then on maybe on 2026. I remember over the past quarter's presentation, you had also did this midterm guidance up to 2026, just to know if it's confirmed or if you plan an update of the guidance or the business plan in the near term? And then the last one, maybe on disposals. There were several rumors over the past months on you potentially disposing the National Interbank Network, maybe if you have an update on this and also maybe on Ratepay, if you expect an acceleration on the disposal in 2025?
Paolo Bertoluzzo: Aleksandra. Let me take your 3 questions. Early start of 2025 is broadly in line with what we have been communicating. It is worth to be noted that we expect to have the first quarter slightly higher than the full year guidance for a number of reasons that are due to the phasing of the extraordinary effect. Second, as far as 2026 is concerned, obviously, this is not a moment to talk about that guidance, but clearly, we expect a reacceleration happening on the back of the underlying growth on the one side and the reduction of these extraordinary effects that we see concentrated in 2025. Last but not least, on rumors on disposals of the parts of DBS. We never comment on rumors, but let me just reiterate what we said in the past. I also said a few moments ago that rationalizing the portfolio of businesses that we have within DBS remains for us a priority as announced a year or 2 ago.
Operator: The next question is from Sébastien Sztabowicz of Kepler Cheuvreux.
Sébastien Sztabowicz : The first one is on your guidance for the full year, low to mid-single-digit revenue growth, '25. How do you see your 3 main divisions trending in the current fiscal year? And the second one is on your cost-cutting plan. What has been done already so far in terms of action? And what were the savings already visible in the P&L in 2024? And what will be the key focus of the company and the management team for 2025 in terms of cost cutting actions? And what kind of savings do you see for this year?
Paolo Bertoluzzo: Sébastien. So on guidance, what we expect by business unit, listen, we expect to have this underlying growth affecting a little bit the 3 business units in a positive sense. While instead these extraordinary effects will actually be affecting mainly Merchant Services in IS and the impact on the growth rate of both will be actually quite similar. And as I said before the MS impact is going to be pretty much in Italy on the back of the bank books M&A we discussed in the past. While IS is going to be more outside of Italy based on a number of dynamics that are partially coming from the past and partially are newer. As far as the saving plans and the savings results and so on and so forth, 2024 has been a strong year from this point of view. You have seen that a lot of focus has gone on taking benefit of the synergy opportunities on the organizational side, always want to be clear on the fact that while on the one side, we drive synergies, on the other side, we continue to invest in talent and critical capabilities and in the business. So even last year, we've been hiring hundreds and hundreds of people despite -- now as you see the overall cost is actually flat or going down. Plus we did bring forward a number of initiatives across the board. As we look into 2025, our plan is again quite comprehensive. We continue to have some support from last year organizational synergies. And part of them will actually be realized this year, and particularly in Italy, where the timing of the exits is according to -- and also the severance cost of that, the cash cost severance of that is according to a contractual specific obligation and situations that are typical of the Italian banking sector. But on top of that, we are working, I would say, across the board, from commercial cost and partner commission in particular 2 operations where we have a very broad operational transformation plan that is based on technology. It's also based on creating hubs for consolidating our operations activities and make them higher quality and more efficient at the same time to the implementation of AI across the board to a number of other efficiency measures. But I think it's really, really important that you realize the fact that for us, efficiency has always been a strong focus and a rule of the game. Otherwise, it would have been impossible to deliver year-after-year strong margin expansion as we've done.
Sébastien Sztabowicz : The savings in amount, do you have some figures to share with us or you don't track the savings of the cost cutting action, synergies savings?
Paolo Bertoluzzo: Sébastien, we did stop -- I mean, internally, we still, every once in a while try to do it. But honestly, we stop doing it for a very simple reason because this would have been honestly, a little bit fantasy numbers because it's for now, for us, very, very difficult to distinguish what is a synergy from the past and what is simply driving efficiency. We are one company since 2022 from the organizational point of view, from the operating point of view, from the way we run the business. So for now, it's all about driving the company forward on growth and efficiency at the same time as one.
Bernardo Mingrone: I think, Sébastien, it's pretty much impossible to I mean, we're doing more. If we were to try and track it, we would be announcing we're doing more synergies than originally expected because I mean we never baked into those synergy plans back in 2020, 2021. The kind of 10% or 15% effective inflation that we've had. So if you look at our CapEx coming down EUR 50 million year-on-year, this is notwithstanding the fact that every piece of hardware we buy now is significantly more expensive than it was 2 years ago.
Paolo Bertoluzzo: But that's the past for us. I mean we are actually in a different present, and as one company we're bringing forward with driving effectiveness and efficiency across the board.
Operator: Next question is from Mohammed Moawalla, as a Private Investor.
Mohammed Moawalla : Few from me. Number one, just as we think of the kind of cadence of growth this year, you talked about CDP, obviously, seeing a slight sort of delay in transition. How should we think of perhaps the first couple of quarters of the year versus the back half of the year? And secondly, on the capital returns and the dividend, especially, how should we think of how you think about the kind of payout ratio? I know that you're going to look at unadjusted net income and kind of circa 40% of the EUR 300 million represented in 2024. Is that sort of the right kind of baseline that we should model and therefore, it should grow kind of broadly in line with earnings?
Paolo Bertoluzzo: So let me take the first question and then hand over to Bernardo for the second one. I think the dynamic that I think is good to expect is a little bit what I mentioned before. We expect to have a stronger first quarter. And then we expect to see a higher impact of the extraordinary effects that we've been talking about. And the rest of the year, should be kind of broadly not consistent quarter after quarter. So a stronger first quarter and then the rest of the year, broadly similar performances as the different effects come into place and unwind at the same time. Bernardo, on the second one?
Bernardo Mingrone: Yes, I'll just ask Moh, who I believe is still at Goldman, so not a private investors for the record. But -- sorry, the question was on capital allocation or in terms of capital, but I didn't quite understand.
Mohammed Moawalla : Capital being on normalized...
Paolo Bertoluzzo: The key point, Moh, is that the way we look at it is actually on the yield on the equity value of the company, and we look at it as a share of the excess cash that we have generated in the previous year. That's the way we look at it. So we're distributing as a dividend the EUR 300 million out of the EUR 700 million that we did generate last year. If you add on top of it, the buyback this year, we are distributing more than 85% of what we have generated in excess cash last year. And most importantly, as you remember, last year, we did generate -- we did distribute EUR 500 million on top of a EUR 600 million cash generation of 2023. This year, we are distributing EUR 600 million on top of a EUR 700 million cash generation of 2024. And therefore, we are distributing 100% of the excess cash additional generation.
Bernardo Mingrone: But I think Paolo, I mean, we need to reiterate, I think the comments Paolo made in terms of capital allocation every year. We have a number of commitments, right? So every year, we'll make a choice, which is balanced between maintaining our investment-grade rating, which is something we are highly committed to and very focused on, the cash generation that Paolo is saying, the debt maturity, profile that we're facing, all of these factors come into consideration. And based on all of this and our knowledge today, we expect to distribute, I think we said the majority of what is generating during the year and give growth to dividend, which is introduced this year. Rather than give a percentage of that cash generation in the year.
Operator: Next question is from Aditya Buddhavarapu of Bank of America.
Aditya Buddhavarapu : Just a few for me. You mentioned the impact from bank contract renegotiations and the bank M&A. Will there also any impact on that in 2026 as well? That's the first question. Second, on issuing, you mentioned the delays in migration from a client in the Nordics. Can you just quantify the impact of that into Q1? And then Nordic up 1% for the year. It's been slow growth for the last few years as well. So what can you do to improve the growth there outside of the broader macro itself picking up?
Paolo Bertoluzzo: This is Paolo. So bank M&A effects throughout -- in 2026, listen, as I said before, we expect to continue to have some effects of the same deals that are starting to have effect in '25 also in '26, but we also expect it to be lower. And also, to a certain extent, different in nature. Let me pick one that is known. Banco BPM, the effect of the Banco BPM situation is going to be this year on Merchant Services in Italy. While next year, we may have effect on -- more on the issuing side because in theory, they should start also migrations of cards. But honestly, by the way, it really depends on what happens on bank M&A as there is a UniCredit offer to buy Banco, as you know better than I do. On the Nordic client, Q1 effects and so on and so forth, it's actually very early to talk about it because it really depends on how fast or slow they -- we migrate. For now, as you've understood they're really struggling to migrate. And therefore, we really don't know exactly when this will happen in the year. Last but not least, on Nordic dynamic, let me try to summarize what we see in the Nordics. In the Nordics, we see actually good growth on international schemes in Denmark and Norway where -- and that's actually a migration from a national schemes that are less profitable for us. So it's a good dynamic for us. While in Finland and Sweden, we see actually -- we have seen a fairly weak economy in '24. So let's see now what happens in 2025. But overall, in the Nordics, we see volumes on international schemes are continuing to grow, and that's going to be a support to growth. Second, as I said before, we are leaders in Denmark, Finland and Norway. And therefore, we are defending our market share. We see customer base growth in most of the places. But clearly as a leader is not easy to grow market share there. While instead, we are growing our market share in Sweden where we have a challenger and that's our focus there. Last but not least, when it comes to pricing and margin and so on and so forth, I think over the last 2 or 3 years, we've seen some pressure, in particular, in Denmark as a combination of competition, but also international schemes increasing their scheme fees costs. And here, we see an improving situation going forward on the back of more value-added services that we are selling on top, we discussed merchant financing a moment ago. We can talk about DCC. We can talk about the beginning of upselling and cross-selling of software. And in general, more advanced bundling. And I would add on top of it a more continued rigorous repricing activity to ultimately defend our margins from these mas card price increases.
Bernardo Mingrone: I think there's another quick question on the impact of the transition, right? We were talking somewhere between 5% to 10% for the year. So depending on if and when they start doing it, phase it as you see fit.
Paolo Bertoluzzo: Yes.
Aditya Buddhavarapu : Understood. Maybe just one more. Can you just talk about the trends you're seeing to date across your markets in terms of maybe consumer spending or demand in general?
Paolo Bertoluzzo: You mean a little bit volume dynamics more recently?
Aditya Buddhavarapu : Yes.
Paolo Bertoluzzo: Well, listen, at the beginning of the year, honestly, is not bad across the market. It's broadly in line with we landed last year taking into consideration that when you look at total volumes and what we mentioned about the impact, for example, of Banco BPM also affects the volumes in Italy. And Italy is important. So we are not necessarily representing the market there. But ultimately, we see trends that are pretty much in line with the exit from last year. I think here, your question is how the economy will evolve and consumer spending will evolve throughout the year, which we all know is going to be a bit softer than what everybody was expecting 6, 12 months ago. But let's see, I mean, I think it's going to be an interesting year in terms of macro.
Operator: Next question is from Hannes Leitner of Jefferies.
Hannes Leitner : Yes. I got also a couple of questions. Maybe you can talk about your cash management. You reported debt reduction, but also cash reduction. So how much do you really need to run the business in terms of cash balance? And then maybe you can talk about the Merchant Service TPV dynamic. You stopped disclosing the split between Italy and the other regions. So maybe you can give us there some qualitative comment around H2. And then lastly, just in terms of Italy, where do you see the growth in 2025 and 2026 between the 2 segments and overall for the group level on Italian basis?
Paolo Bertoluzzo: So let me ask Bernardo to take the first one on cash management, and I'll come back on the second and third.
Bernardo Mingrone: Yes. So Hannes, we hold a significant amount of cash on our balance sheet to try and optimize, let's say, the cost of interest. And most of it is held at either Nexi S.p.A. level or at Nexi Payments level, which is the highest cash generator within the group. And then every regulated legal entity within the group needs to hold certain cash balances to be in line with regulatory requirements. So I think it's -- there's no hard and fast number. I would say that at Nexi S.p.A. level, we would always need to hold at least about EUR 300 million or EUR 400 million of cash. But I think it's realistic to believe that we could reduce that cash balance or it would be useless to try and reduce that cash balance to EUR 400 million, when we can manage the cash flow by the treasury function and managing gross indebtedness, together with net indebtedness at the same time. So optimizing the kind of yield we get on our cash balances by minimizing what we have to borrow to fund the Merchant float and things like that. So if you were looking for academic answer, I'd say, around about EUR 400 million given the amount of coupons we need to pay from an Nexi S.p.A. level, probably a similar amount spread across the group and the other legal entities, but the truth is we'll hold more cash at all times given what I just said.
Paolo Bertoluzzo: Let me try to give you some color on the other two, Hannes, on the volumes that we see and going back to the same KPIs we were using in the past when we're having a dedicated page on the monthly evolution in the deck here and have in front of me because we still obviously track it quite closely. In the second half, we've seen actually the Italian space growing at around -- a bit higher than mid-single digits, depending on the moment. We have seen the Nordics. And here, we are focusers on international schemes growing a little bit throughout around the mid-single digit or close to that, sometimes higher, sometimes lower. And we've seen DACH, and I would say, in particular Germany, instead are running at high single digits in the second half of the year, sometimes also double digit. As far as Italian dynamics in the year. As I said, clearly, the Merchant Services area will be affected by this bank situation that we mentioned before. And I mean just name the 2, the ones that are going to be more impactful are Banco and Cassa Centrale Banca. But again, it's a little bit early to say what the impact is going to be because we are fighting hard in the market. And actually, we are winning and retaining a lot of customers, and we will continue to do everything to make sure that we do that more and more on the back of our products and on the back of our new sales channels as well.
Operator: The next question is from Nooshin Nejati of Deutsche Bank.
Nooshin Nejati : I just have 3. First, I wanted to -- I'm wondering if you can quantify actually the underlying growth for this year, which you expect an acceleration for next year? And second one on cash to digital run rate. We get a lot of questions on this one that this has taken its course, and maybe we are now thinking of 1% to 2% per year. If you can also tell us about that, that would be great. And then when it comes to Nordic dynamics, your competitor is talking about losing market share there. I'm wondering how do you see the dynamic over there? And any potential for gaining market share?
Paolo Bertoluzzo: Nooshin. So underlying growth, it was obviously compared to 2024. 2024, we grow 5%, I think the underlying growth that we see in this year is anywhere between 5% and 6%. I think it's been a lot of macro because that's also embedding a macro, and we are always a bit cautious on macro for the good reasons that you can imagine. Cash to digital, we see that continuing. I think the 1 to 2 percentage points per year, it still remains a good measure. Obviously, this is particularly true in places like Italy, Poland, Germany, which we should always remember is very under-penetrated. Greece, Croatia, these geographies, obviously, the Nordics is less than that given the fact that they already had quite high levels. Nordics, let me just reiterate what I said before. We are clearly taking market share in Sweden where we are a challenger. In the other 3 markets, we are more defending market share. I would say that in Norway. We are probably flat or maybe also taking a little bit of share here and there, while actually in Denmark and Finland where we are by far market leader, we see obviously more pressure. But there, the rule of the game for us is actually upselling and cross-selling more products and services to generate growth, and we see growth. I want to be clear, in the year and at the same time, defending margins.
Operator: [Operator Instructions] The next question comes from Alberto Villa of Intermonte.
Alberto Villa : Just one question from my side. I was wondering if you can comment on the capital management going forward. Obviously, the indication on shareholder remuneration was very nice today. I was wondering if you commented during the presentation that you will keep a disciplined approach on M&A. I was wondering how should we square this with future shareholders' remuneration. In other words, what is your view on potential M&A in the future? And if there is an opportunity in terms of M&A? Should we consider this to decrease the shareholder remuneration or you're willing to increase your leverage?
Paolo Bertoluzzo: Alberto, thank you for the question, which is obviously quite important. Listen, as we're providing this guidance, we have some clear assumptions on the outlook on M&A, and we have a precise, as you can imagine, outlook for this year. And we have some assumption for the next couple of years as well. So as we provide this guidance, this means that for the outlook that we see today, we believe that we can give back to our shareholders more than 50% of the cash that we generated in the previous year, still accommodating for some M&A that we continue to see very low/marginal. And at the same time, not only maintain the investment-grade rating, but also continuing our deleveraging path that is extremely clear and visible. So in the short, medium term, I think we have great visibility. Longer term, I think that in the longer term, the company will be landing at so low levels of leverage that we will have plenty of flexibility to do what is needed in case we have opportunities that we can't miss on the M&A side and still stick to the capital allocation policy that we are talking about here.
Alberto Villa : Just a follow-up, if I may, on Sabadell, is any news there?
Paolo Bertoluzzo: Well, I mean, we read the news as much as you do. And we understand that the situation is still not defined. I understand that they received green light from the competition authority with some remedies associated to it. But the way it works, and we understand in Spain is that now the government assessing the situation and the government can potentially add additional remedies to that. And we don't expect the situation to become much clearer before beginning of summer or actually summer. So I think we need to wait to understand what's happening there.
Operator: Gentlemen, that was the final question.
Paolo Bertoluzzo: Well, thank you so much for attending our call today. Again, let me just reiterate the super key messages. We believe, strong delivery in '24, especially in terms of excess cash generation growth. And most importantly, on the back of that, on the back of the outlook for this year and the future, where we remain very confident in the sector and our ability to grow the business very profitably. We are committing to deliver more and more cash to our shareholders, while at the same time, investing in the business, growing the business and reducing leverage at the same time. Thank you very much for your participation. Looking forward to talking to many of you in the coming hours and days. Thank you. Bye-bye.